Operator: Good morning. My name is Jennifer, and I will be your conference facilitator today. At this time, I'd like to welcome everyone to the BlackRock, Inc. Third Quarter 2024 Earnings Teleconference. Our host for today's call will be Chairman and Chief Executive Officer, Laurence D. Fink; Chief Financial Officer, Martin S. Small; President, Robert S. Kapito; and General Counsel, Christopher J. Meade. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer period. [Operator Instructions] Thank you. Mr. Meade, you may begin your conference.
Christopher J. Meade: Good morning, everyone. I'm Chris Meade, the General Counsel of BlackRock. Before we begin, I'd like to remind you that during the course of this call, we may make a number of forward-looking statements. We call your attention to the fact that BlackRock's actual results may, of course, differ from these statements. As you know, BlackRock has filed reports with the SEC which list some of the factors that may cause the results of BlackRock to differ materially from what we say today. BlackRock assumes no duty and does not undertake to update any forward-looking statements. So with that, I'll turn it over to Martin.
Martin S. Small: Thanks, Chris. Good morning, everyone. It's my pleasure to present results for the third quarter of 2024. Before I turn it over to Larry, I'll review our financial performance and business results. Our earnings release discloses both GAAP and as-adjusted financial results. I'll be focusing primarily on our as-adjusted results. On our previous earnings call, we spoke to improving client sentiment and steadily improving organic growth. We sounded optimism about our growth trajectory in the second half of the year, and in the third quarter organic growth surged and BlackRock delivered some of the best financial results in our history. We generated $221 billion of net inflows, our highest net flows quarter ever. We delivered record levels of quarterly revenue and operating income. We expanded our margin by 350 basis points year-over-year. We generated 5% annualized organic base fee growth, our highest quarter in three years. Organic growth is accelerating as we execute on a strong pipeline and clients turn to BlackRock to move in size into public and private markets. Our structural growers, iShares, whole portfolio outsourcing in Aladdin, the structural growers all delivered strong third quarter growth and are poised to accelerate into year end. iShares, iShares leads the industry in global flows with approximately $250 billion through the third quarter and historically sees upwards of 40% of its total annual flows in Q4. Fixed income ETFs built chiefly on organic growth, iShares fixed income ETF assets now stand at over $1 trillion, nearly 40% higher than at year end 2021. And Aladdin, Aladdin logged 15% ACV growth consistent with our long-term low to mid-teens target with excellent momentum and key wins with growing clients. Finally, fixed income. Fixed income delivered across the platform with over $60 billion of net inflows. We believe a continued path of central bank normalization will support sustained inflows across bond funds, ETFs, and institutional accounts. Fixed income remains a compelling organic growth opportunity for BlackRock. Private markets are a strategic priority for BlackRock, delivering world-class private markets capabilities to more deeply-served clients across the whole portfolio. On October 1st, we closed on our acquisition of Global Infrastructure Partners. The combination triples infrastructure AUM and doubles private markets run rate management fees. We're already seeing the power of BlackRock and GIP together. Our partnership with Microsoft and NGX, It aims to realize the enormous investment potential of infrastructure to support AI innovation. And it's just the first proof point of the growth synergies we can create together. We're bringing private markets to wealth clients. BlackRock manages more than $300 billion of assets across model portfolios and separately managed accounts for wealth managers. These portfolios would benefit from increased exposure and more efficient access to the private markets. We believe the model portfolio solution we're building with Partners Group will revolutionize access to private markets for wealth managers and improve portfolio outcomes for millions of households on an even bigger scale than what's been done with Evergreen Funds. And as long observed in markets, information about capital has become almost as important as capital itself. Our planned acquisition of Preqin is accelerating this exciting private markets data and analytics journey for BlackRock and our clients. Our focus remains on delivering BlackRock's platform to clients through access to unique opportunities, expertise, and world-class client service. We're also moving swiftly and aggressively to position our firm to continue to achieve or exceed our 5% organic base fee growth target over the long term. We're building our mix towards higher secular growth areas like private markets, technology, whole portfolio mandates and model portfolios. We believe this will translate to higher and more durable organic growth, greater diversification and resilience in revenue and earnings through market cycles. Successful execution of these goals should also result in multiple expansion for our shareholders. We ended the quarter with AUM near $11.5 trillion. $11.5 trillion units of trust, clients building with BlackRock. Our business tends to be seasonally strongest in the fourth quarter and we maintain line of sight into a broad global opportunity set of new asset management and technology mandates that should fuel organic growth. BlackRock generated total net inflows of $221 billion in the third quarter, representing 8% annualized organic asset growth. Third quarter revenue of $5.2 billion was 15% higher year-over-year, driven by 5% organic base fee growth, the impact of market movements on average AUM over the last 12 months, and alpha generation in our liquid alternative strategies. Operating income of $2.1 billion was up 26% year-over-year. Earnings per share of $11.46 increased 5%, reflecting a higher tax rate compared to a year ago. Non-operating results for the quarter included $108 million of net investment gains, driven primarily by gains linked to a minority investment and unhedged seed capital investments. Our as adjusted tax rate for the third quarter was 26%. The prior year quarter included $215 million of discrete tax benefits, while the third quarter of 2024 was impacted by $22 million of discrete expense. We continue to estimate that 25% is a reasonable projected tax run rate for the remainder of 2024. The actual effective tax rate may differ because of non-recurring or discrete items or potential changes in tax legislation. Third quarter base fee and securities lending revenue of $4 billion increased 9% year-over-year, reflecting the positive impact of market beta and foreign exchange movements on average AUM and organic base fee growth, partially offset by lower securities lending revenue. Sequentially, base fee and securities lending revenue was up 4%. On an equivalent day count basis, our annualized effective fee rate was approximately four-tenths of a basis point lower compared to the second quarter. This was due to the relative outperformance of lower fee U.S. equity markets and client preferences for lower fee U.S. exposures and lower securities lending. The closing of GIP added $116 billion of client AUM and $70 billion of fee-paying AUM on October 1st. We expect GIP to add approximately $250 million of management fees in the fourth quarter of 2024. The GIP portfolios contribute competitive private markets fee levels that are typically over 100 basis points. They add primarily long dated non-redeemable assets to BlackRock's overall business, which further diversify our revenue and earnings mix. We expect these private market assets to positively impact BlackRock's overall effective fee rate by 0.5 to 1 full basis point. Performance fees of $388 million increased significantly from a year ago, primarily reflecting strong alpha generation over the last 12 months from a hedge fund with an annual lock in the third quarter. Quarterly technology services revenue was down 1% compared to a year ago due to the prior year quarter revenue impact of eFront on-premises license renewals for several large clients. Excluding this impact, technology services revenue would have increased approximately 9% year-over-year. Sequentially, technology services revenue was up 2% reflecting successful client go lives. Annual contract value or ACV increased 15% year-over-year, driven by sustained demand for our full range of Aladdin technology offerings. In the third quarter, a large U.S. asset manager selected Aladdin to unify its investment management technology platform across public market asset classes. Our ACV results include the impact of this client announcement and a number of other new client mandates. Our results highlight the power of Aladdin as a unifying technology. Aladdin provides a highly scalable operating backbone to clients that's tailored to meet their needs. It enables new capabilities to drive top line business growth for clients, while also unlocking scale and efficiency. Clients recognize a direct positive impact to the bottom line. Total expense was 8% higher year-over-year, primarily driven by higher incentive compensation, G&A, and sales, asset, and account expense. Employee compensation and benefit expense was up 10% year-over-year, reflecting higher incentive compensation as a result of higher performance fees and operating income. G&A expense was up 8% year-over-year, primarily due to the timing of technology spend last year and higher professional services expense. Sales asset and account expense increased 6% compared to a year ago, driven by higher direct fund expense. Direct fund expense increased 7% year-over-year and 6% sequentially, primarily as a result of higher average ETF AUM. Our as adjusted operating margin of 45.8% was up 350 basis points from a year ago, reflecting the positive impact of markets on revenue, significantly higher performance fees, and organic base fee growth. As markets improve, we've executed on our financial rubric, aligning controllable expense and organic growth, adding more resilience to our operating margin through greater variabilization of expenses and driving fixed cost scale. This approach is yielding profitable growth and operating leverage. In line with our guidance in January and excluding the impact of Global Infrastructure Partners, Preqin and related transaction costs, at present we would expect our headcount to be broadly flat in 2024. And we would also expect a low to mid-single digit percentage increase in 2024 core G&A expense. In line with this outlook, we would also expect Q4 core G&A to reflect execution of planned technology investment spend at levels more consistent with Q3 and seasonal increases in marketing spend. We welcomed approximately 400 new colleagues to BlackRock following the close of the GIP transaction. Inclusive of the GIP acquisition impact, at present, we'd expect full-year core G&A expense growth to be closer to the high end of the previously communicated range of a low to mid-single digit percentage increase. Our capital management strategy remains first to invest in our business, to either scale strategic growth initiatives or drive operational efficiency, and then to return excess cash to shareholders through a combination of dividends and share repurchases. At times, we may make inorganic investments where we see an opportunity to accelerate growth and support our strategic initiatives. At the closing of the GIP transaction, we issued and delivered approximately 6.9 million shares of BlackRock common stock, subject to a two-year lockup period. Approximately 30% of the total consideration for the transaction or 5 million shares is deferred and is expected to be issued in approximately five years based on achievement of certain performance milestones. We repurchased $375 million worth of common shares in the third quarter. At present, based on our capital spending plans for the year and subject to market and other conditions, we still anticipate repurchasing at least $375 million of shares in the fourth quarter consistent with our previous guidance. At present, we expect our planned acquisition of Preqin to close around year-end 2024, subject to regulatory approvals and other customary closing conditions. BlackRock's third quarter net inflows of $221 billion were well diversified and positive across client type, product type, active and indexed and regions. Momentum in our ETFs continued to build with $97 billion of net inflows in the third quarter. Fixed income and core equity led net inflows of $48 billion and $32 billion, respectively. Precision ETFs had $20 billion net inflows as clients efficiently adjusted tactical portfolio allocations with tilts towards U.S. and international developed market equities. BlackRock's cryptocurrency ETPs continue to grow and added $5 billion of net inflows in the third quarter. Institutional clients continue to consolidate more of their portfolios with BlackRock, and our institutional franchise raised $56 billion of net inflows in the third quarter. Our institutional active franchise saw $27 billion of net inflows, primarily in fixed income and multi-asset. Flows benefited from the funding of several large insurance and pension outsourcing mandates. We also saw positive flows into systematic equity, LifePath target date offerings, and private market strategies. Institutional index net inflows of $29 billion reflected large mandate wins and client-specific asset allocation and rebalancing decisions. Retail net inflows of $7 billion were led by continued strength in Aperio inflows into U.S. active fixed income mutual funds. Fixed income flows were positive across our municipal bond, high yields, unconstrained, and total return franchises. Demand for our illiquid alternative strategies continued in the third quarter with $1.5 billion of net inflows driven by infrastructure and private credit. Net inflows also reflected the impact of successful realizations of over $3 billion, primarily from private equity and infrastructure strategies. Finally, cash management saw net inflows of $61 billion in the quarter, driven by both US government and international prime funds, and included multiple large new client mandates. Clients recognize the benefits of our scaled and integrated cash offerings, and this is contributing to sizable inflows of BlackRock. BlackRock delivered one of the strongest quarterly results in our history, and we're in an excellent position to grow with our clients, moving ahead into the end of the year and beyond. BlackRock's historically delivered outsized organic growth in periods of investor re-risking, around election cycles, and changes in central bank policy. The fourth quarter's also been historically strong for inflows, so we're staying connected with our clients. We see significant opportunity to deepen relationships and to grow our share. As clients increasingly turn to BlackRock, we believe this will result in sustained market-leading organic growth, differentiated operating leverage, and earnings and multiple expansion over time. With that, I'll turn it over to Larry.
Laurence D. Fink: Thank you, Martin, and good morning, everyone. Hopefully everyone has had a good summer and a really fun fall. Last week we happened to cross two milestones on the same day. We celebrated the 25th anniversary of BlackRock becoming a public company and we closed our acquisition of Global Infrastructure Partners. We're incredibly excited to officially welcome our GIP colleagues to the BlackRock family. We've enjoyed great connectivity with Adebayo and Raj and all the GIP founding partners. And we look forward to Adebayo joining our Board of Directors this quarter. Reflecting on these milestones and those came before, I believe our relationships with clients, with corporations, and with other partners are the strongest they've ever been. The long-term connectors and our relationship span many years as holders of company debt and equity. Our position as a consistent long-term investor differentiates us from opportunistic capital. We are not transactional. We are effectively perpetual capital, particularly through our index holdings. Those longstanding relationships, underpinned by long-term ownership positions are unlocking differentiated partnerships, especially as we expand into private markets. We founded BlackRock based on our belief in the long-term growth of the capital markets and the importance of being invested in them. BlackRock has grown as the capital markets have become a bigger and bigger part of the global economy. In my conversations with clients and policymakers around the world, I hear how more and more countries recognize the power of American capital markets and would like to build their own type of capital markets. Record government deficits and tighter bank lending means people, companies, and countries will increasingly turn to markets to finance their retirements, their business, and their economies. The growth and prosperity generating power of the capital markets will remain a dominant economic trend in the coming decades. And BlackRock will be an important player in that growth. The opportunities ahead are never been better than we've seen now. We see this through unique deals and partnerships with BlackRock at the center and are an accelerating client activity. 2024 net inflows have already surpassed the full year net inflows of both 2022 and 2023. The asset we manage on behalf of our clients reached a new high, ending the third quarter at $11.5 trillion. AUM has grown $2.4 trillion or 26% over the last 12 months. In that time, clients have entrusted BlackRock with $456 billion of net assets, including a record $221 billion in the third quarter. Third quarter net inflows and corresponding organic base fee growth of 5% represents our highest level in the last three years. And 15% technology services ACV growth is also at a fresh high. On our earnings calls earlier this year, we discussed with our shareholders our visibility to a strong pipeline. We shared how this would lead to accelerating organic growth in the second half and we're seeing that in our results today. We continue to grow our pipeline across the breadth of the Aladdin investment management mandates and we expect momentum to further build into year-end in 2025. We are effectively leveraging our technology, our scale and our global footprint to deliver profitable growth. Quarterly revenues and operating income both set new records, up 15% and 26%, respectively, year-over-year. And our 45.8% operating margin is up 350 basis points. Importantly, organic growth has great breadth and is diversified across BlackRock. Above the third quarter and the first nine months of 2024, flows were positive and active and indexed across all asset classes, across all client types, and across all regions. Actives have contributed $28 billion in the third quarter, including positive results in active equities. ETFs remain a secular growth driver, adding $97 billion in net inflows in the quarter and $248 billion year-to-date. We're seeing a broadening of ETF adaptation globally, leading to increased levels of utilization which we believe will only continue. A number of significant whole portfolio institutional mandates funded in the quarter, and we continue to be chosen for large global solutions. Last month we were selected as a fiduciary manager for over $30 billion dollar Dutch pension fund with more than 30,000 members. Our performance, our technology, and our in-depth knowledge of local investment nuances increasingly make us the preferred partner for institutional clients. Many investors have large cash holdings. Money market industry assets are hitting new records in the quarter, including BlackRock's own cash position, which had $61 billion in net inflows. But investors will have to re-risk to meet their long-term return needs. And we see great opportunities in investors across a number of structural trends continue to build this. These include rapid advancements in technology and AI and rewiring of globalization and the unprecedented need for new infrastructure. BlackRock is exceptionally well positioned in front of that $9 trillion of money market funds across the industry as it makes its way into public and private markets. We are connecting our clients to opportunities and working with them in an integrated whole portfolio lens to help them deploy their capital. We know our strategy is ambitious and our strategy is working. Black market is becoming the premier long-term capital partner across public and private markets. Private markets are becoming increasingly important in the financing of the economy. Growing public deficits are only going to expand the role of private markets and powering economic growth. These dynamics are reshaping the landscape of how our clients invest and how they allocate capital within their portfolios. Throughout our history, we have never shied away from making big bets to better serve our clients. As we did when we created Aladdin, unlocking new markets through ETFs and pioneered whole portfolio advisory across active and index, we made coordinated investments to bring private market opportunities to our clients in a better way. By an enthusiasm for the planned integration of GIP and the closing of Preqin has exceeded our own high expectations. Our clients are excited to see how GIP and Preqin capabilities are amplified by being part of BlackRock. The private markets and the client's allocation to them will continue to grow. Standardized, transparent private market data and analytics will be increasingly important. As with Aladdin, we believe we can add more value to Preqin as both a user and a provider of private market data and risk analytics. Aladdin expanded into new asset classes and markets as BlackRock and our own clients evolved. And we expect the same for Preqin. The growth of private markets is underpinned by the continued rise of infrastructure. It presents a generational investment opportunity. Over the next 15 years, the world will need to invest $75 trillion to repair aging infrastructure to invest in new projects like data centers and decarbonization technology. The current cash flow inflation-protected return profile of infrastructure makes it an attractive sector for our clients, most of whom will represent investor savings for retirement. For the close of GIP, we are now offering our clients access to market-leading investment and operating expertise across infrastructure private markets. Clients will benefit from a substantial scale as the second largest private market infrastructure managers in the world, with $170 billion in client assets. We have differentiated performance. GIP brings a track record of well-timed and disciplined entries into strategic exits, having returned over $45 billion of capital to investors. With higher rates, distributions to paid-in capital are a critical measure of success in where we are an industry leader. The combination of BlackRock’s infrastructure platform with GIP is already unlocking meaningful opportunity for our clients. We recently announced our partnership with Microsoft and MGX to launch the Global AI Infrastructure Investment Partnership. We will make investments in new and expanded data centers to meet growing demand for compute power. We will also invest in energy infrastructure needed to create new sources of power for these facilities. Mobilizing private capital to build AI infrastructure like data centers and power will unlock a multi-trillion dollar long-term investment opportunity. BlackRock is uniquely positioned at the center of this opportunity through our longstanding relationships with corporates, including hyperscalers and energy suppliers and governments around the world. We look forward to be working with our stakeholders in this ecosystem to navigate opportunities and challenges while we also are delivering investment returns for our clients. This partnership is a powerful demonstration on how our expanded capabilities will enable us to do even more with our clients investing in one of the largest growth imperatives in the coming decades. In addition to infrastructure, private credit is an important component of our client's portfolio. We've grown our own broader private market -- private debt business organically and inorganically in recent years. Today we manage over $85 billion in diversified across lending, investment grade, private placement, infrastructure and real estate debt. And we've been a top 10 fundraiser over the last decade. BlackRock’s nearly $4 trillion in assets across public fixed income cash and private credit means we both provide integrated fixed income solutions for our clients and deliverable scale benefits. Our scale enhance our proprietary deal sourcing access to the execution of deal flow, deeper liquidity, lowering trading costs, all of which benefits each and every one of our clients. Private markets have mainly been accessible to institutional investors while private wealth holding underweight by comparison. For many wealth investors, the addition of private markets to the portfolio may provide diversification benefits to better returns. To help bridge this gap, we recently announced a partnership with a Partners Group to develop a first-of-its-kind private markets model portfolio solution. We believe it will transform retail access by enabling financial advisors and their clients to add broad-based exposures to the private markets, including to the BlackRock funds. We continue to innovate new investment strategies to improve private market access for our clients backed by our own investment expertise, our proprietary sourcing of deals, and our technology. As market complexities and opportunities grow, clients need to scale enablers like Aladdin. Clients use Aladdin to consolidate a patchwork of legacy technologies resulting in greater and better business agility and resilience. It combines risk management, the investment book of record, its performance, its accounting, its risk, and data all on one platform. Clients research shows that Aladdin's scalable capabilities allow clients to grow faster, operate more efficiently, better risk management with their technology spend over the long term. The power of Aladdin is resonating with both asset owners and managers. The ACV growth reflected several significant client mandates, including a large public asset manager, and one of our largest Aladdin assignments ever. Aladdin is core to the consistent performance our portfolio managers deliver for clients. We leverage our investment insights and technology to bring the performance they demand and deserve. Flows into BlackRock active strategies accelerated in the third quarter with $28 billion of net inflows, bringing our year-to-date total of $39 billion. This includes demand for active equities led by our high-performing quant strategies, where more than 90% of the AUM is above the one, three, and five year period. Across asset classes, investment performance remains strong over the long run. This is resonating in our active flows and our liquid performance fees, and performance positions us well for future growth. Index ETFs are increasingly being used with an active management and the ETF structure is being used to pair the alpha generation of leading investors with the liquidity, tax efficiency and transparency offered by ETFs. These dynamics are contributing to client demand globally for iShares ETFs. BlackRock generated in the third quarter ETF net inflows of $97 billion. ETF flows were positive across all segments and major regions, including double-digit organic growth in Europe. There's more to come with the fourth quarter, which typically brings our seasonally strongest period of the year. iShares fixing an ETF platform recently cost $1 trillion in assets, and standalone, it would be a top-five bond manager by itself. Assets have nearly doubled over the last five years. All of that growth has been organic and mostly in a flat to down fixed income beta environment. A more normalized, relatively high rate environment has the potential to encourage investors back even more into fixed income. We continue to innovate in our exchange traded products to provide better access to markets. This quarter we launched our Ethereum ETF which has garnered more than $1 billion of net inflows in the first two months of trading. It follows the successful launch of our Bitcoin product, which has now grown to $23 billion in its first nine months. And we will continue to pioneer new products to be making investing easier and more affordable. On October 1st, 1999, BlackRock listed on the New York Stock Exchange for $14 a share. Today, we're trading somewhere around $960. When we went public, it was with a belief in the importance of growth and the depth of the global capital markets. We wanted to share our success with a broader population of people investing for the future, including our employees that all still holds true today. Our relentless focus on clients, having a growth mindset and a willingness to change and evolve has generated a compounded annual total return of over 20% for our shareholders since our IPO 25 years ago. BlackRock has exceeded the total return of the S&P 500 in 19 of those 25 years, representing a business model to serve all our stakeholders. We are better positioned than ever to serve our clients and to deliver growth for our shareholders in the years to come. I've never felt more optimistic in our positioning as I do today, even after 25 years of being a public firm and 37 years of being a firm. I want to thank all the BlackRock employees for their commitment to upholding our culture and serving our clients with excellence. And again, we welcome our new colleagues and clients from GIP. Operator, let's open it up for questions.
Operator: Thank you. [Operator Instructions] We'll go first to Craig Siegenthaler from Bank of America.
Martin S. Small: Hey, Craig.
Craig Siegenthaler: Hey, good morning, Martin. Hope everyone's doing well. So my question is on the net flow trajectory. From your broad-based client conversations and your current institutional and funded wind pipeline, do you expect the acceleration of re-risking activity continue into next year post the election? And if your long-term net flows strengthen or stay strong given that they're already pretty strong in the third quarter. Should we expect any outflows in your money market business, which I know might be somewhat protected given the institutional scale?
Martin S. Small: Thanks, Craig, for the question. So new inflows are strong, as you said, very healthy on any and all of the measures we track. No question, Craig, we're winning share with our clients. The $221 billion of Q3 flows, they showed great breadth across the business. Positive flows in U.S. active fixed income mutual funds, systematic equity, LifePath target date. Larry talked about just our long-term active business really shows resilience. Since 2019, I think we've had positive active flows in 18 of 23 quarters. So, we just continue to have a very strong flow performance, 25% higher than full year 2023, and we still have this seasonally strong Q4 ahead. So, we feel like a very healthy trajectory on asset growth. It's an affirmation for us that we're focused on the right things with clients. And I think for where we are in the cycle, BlackRock's always been a meaningful out performer in re-risking periods. So going back to previous election cycles or central bank action, if you look at BlackRock, we had outsized upside capture if that was in 2017, 2018, 2021, and we saw very strong organic asset growth as well as organic base fees growth that was over our long-term targets. So we see that the market and we think the world is lining up for that with our clients. And then with respect to money markets, our business is largely institutional. It's been very durable. The $61 billion of flows that's come there I think have been good. The trajectory has been very strong this year. I think Craig when we look at it, our money market fund business is at $850 billion today. It's nearly 70% bigger than it was five years ago. Cash is a meaningful part of client portfolios, but we're seeing that sort of return to fixed income as well, which has been good for the flow trajectory.
Laurence D. Fink: I would just add one thing is, as the global capital markets become a larger player in the economic activity here and other places in the world, the opportunity for us and our positioning for us is fantastic. And that will allow the backdrop for better flows and more exciting opportunities.
Operator: We'll go next to Michael Cyprys with Morgan Stanley.
Michael Cyprys: Hey good morning.
Laurence D. Fink: Hi Michael.
Michael Cyprys: Hey, congratulations on the strong quarter here. Great to see the meaningful operating leverage as well in the quarter. Just curious how you're pacing investments spent here into 2025. How is that evolving? And what are some of the levers to drive margining in the 12 to 18 months? Maybe you can update us on where you are along the journey of variablizing your expenses.
Martin S. Small: Thanks, Mike. I appreciate it. It’s Martin. So just contextually, right, our approach to shareholder value creation is to generate industry-leading differentiated organic growth, to drive operating leverage and industry-leading margins and to execute on a consistent capital management strategy. We've got a strong track record at BlackRock of investing in the business for growth and scale, while also expanding profitability. It's not just about growth, it's about profitable growth over the long term. As our growth comes from being very disciplined in making and managing continued investments in our business. We've dubbed this our financial rubric, which I mentioned. We size our operating investments in line with a prudent lens on organic growth potential. We're aiming to put more flexibility in our cost base and variablizing more expenses where we can, and we've made a lot of progress there. And most importantly, we're looking to generate fixed cost scale, especially through investments in technology. We've got a consistent track record of delivering industry leading margins and improving them. And I'd say the scale indicators, they're really coming through the results. We generated 350 basis points of margin expansion year-over-year, while operating income rose 26%. And since the end of 2022, BlackRock assets under management are up $3 trillion, while headcount is broadly flat. So we're delivering the benefits of scale and productivity which showing our margin expansion. We continue to believe that technology, automation, firm foot printing are the major levers there for us to continue to drive that margin expansion. The last thing I'd say is just market movements, market movements beta, that's our highest margin item, both when markets move meaningfully up or down. And we continue to see conditions for reasonably positive growth in the markets over the near to intermediate term. So we believe we can continue to invest to accelerate organic growth and deliver margin expansion using this financial rubric that we've laid out.
Operator: We'll go next to Alex Blostein with Goldman Sachs.
Alex Blostein: Hey, Larry. Hey, Martin. Good morning.
Laurence D. Fink: Hi, Alex. How are you?
Alex Blostein: I'm good, thanks. Question for you guys on private markets, there's a couple of topics, but maybe starting with GIP, helpful to maybe just to get a market to market on some of the financial elements. I know Martin, you talked about $250 million, I think, in management fees in the fourth quarter. Can you talk a little bit about how you see that evolving into 2025? What are some of the kind of fun flow dynamics on the legacy GIP side and what are some of the things that you guys are working with them together? And also if you could just remind us what the operating margin on that business is as well out of the gate as well. Thanks.
Martin S. Small: Thanks Alex. So just the closing of GIP, it's a great milestone in BlackRock's history. We're really excited to welcome over 400 new colleagues, to welcome the leadership team, Adebayo, Raj, Michael, John, everybody. Our clients are excited. The consultants that we've been working with are excited. The corporate partners are excited. So we're really eager to partner on this new platform. And the reception, as Larry mentioned, has been overwhelmingly positive. For us, this is a revenue growth story. This is about expanding capabilities. We're working to unlock substantial growth synergies across origination, capital formation, and platform scale. We're seeing excellent momentum in fundraising for -- across the platform at GIP, at BlackRock, and have, I'd say, really strong ambitions, especially around the AI Innovation Fund that Larry mentioned. As I mentioned on the call in my earlier remarks, we're consolidating $116 billion of GIP AUM, client AUM, $70 billion of fee-paying AUM. We're doubling private markets run rate management fees at BlackRock in the transaction. Think about GIP adding, as we said on the call, annualized north of $400 million of earnings at sort of 50-ish percent margins, $250 million in management fees we expect to come in the fourth quarter. So I'd model sort of a $1 billion of fees with an FRE margin north of 50% when we think about 2025 in terms of GIP.
Operator: We'll go next to Dan Fannon with Jefferies.
Laurence D. Fink: Hi Dan.
Operator: Caller, your line is open. You may be on mute.
Dan Fannon: Sorry, can you hear me?
Laurence D. Fink: Yes, we can now, Dan.
Dan Fannon: Okay, great. Sorry about that. I was hoping you could discuss your appetite for additional M&A and what constraints you have financially, but more importantly as a management team to appropriately integrate the recent deals and really maximize the opportunity you have with these transactions?
Martin S. Small: All right, thanks so much for the question. As I said, we're really excited for our clients about GIP and Preqin. This is a meaningful accelerant in our private markets capabilities. And I think just, as I mentioned in the last question, it's a major financial contributor for BlackRock, but it's going to take some work to integrate well and realize the plan synergies of the transaction. So right now we're very focused on integrating GIP and closing Preqin, and we're focused on delivering a great integration experience for clients and employees. We've always thought of making organic and inorganic investments in our business. And inorganic is a tool that we have in order to optimize organic growth, but we don't need M&A to meet our organic growth targets. Look at this quarter, we've hit our 5% organic base fee growth target and we see excellent momentum. So, we'll continue to be prudent with our capital and financial position and consistent with our long-term approach. We'll evaluate inorganic opportunities that have the benefit for our clients and shareholders. We're always going to be very rigorous and selective in those criteria and entertain possibilities that have clear alignment with our culture, strategy and long-term organic growth. We have great capabilities here, Dan. So across infrastructure now, we've got $170 billion platform. We have an $85 billion private credit platform. We have a huge opportunity to grow inorganically in private credit with our insurance clients. We're the largest core fixed income manager in the world for insurance companies -- organic, we have the largest organic opportunity to grow -- organic opportunity to grow with our insurance clients. We manage $700 billion of insurance company general account assets for them. So if you think about the conversations we're having with CIOs to integrate our private credit capabilities into that GA. If we can just flip seven -- if we can flip 10% of the $700 billion into private credit strategies, that's $70 billion of opportunity sitting with existing clients with the capabilities that we have today.
Operator: We'll go next to Glenn Schorr with Evercore.
Laurence D. Fink: Hi, Glenn.
Glenn Schorr: Hi, thanks very much. So I think we're all pretty impressed with the broad growth that you keep putting up and huge margins too. So, I want a high-level question. You mentioned the word multiple expansion once or twice during the conversation and it's just -- I think earnings growth needs to be part of the equation too. When you have strong growth and everything, you have big margins. I'm just curious why 5% EPS growth this quarter, should we expect these initiatives as they layer in and you consistently hit your base fee targets to actually bring the earnings growth along with it too. I appreciate that. Thanks.
Martin S. Small: Thanks so much for the question, Glenn. So we're focused on driving differentiated organic growth, meeting our 5% organic growth targets through the cycle driving operating leverage. And as you said, I think you see those results very much coming through. We think if we are able to drive 5% organic growth, continue to execute on this financial rubric I laid out. We should be able to drive industry-leading margins and margin expansion and double-digit EPS growth. I think in the quarter, I mentioned our effective tax rate was 26% in the quarter. And that's the main driver between some of that lighter EPS here was the $22 million of discreet expense that we had in this quarter versus the $215 million of benefit that we had last year from discreet.
Operator: We'll go next to Brian Bedell with Deutsche Bank.
Laurence D. Fink: Hi Brian.
Brian Bedell: Hi, good morning. Congrats on a great quarter. Maybe just back to the 5% organic base fee growth and maybe a different angle on this in terms of the fee rate. Obviously, the rate is going up with the GIP acquisition of that 0.5 to 1 basis point. Do you feel better now than you have maybe in a long time on the potential for the fee rate to either be stable or even move up sequentially in the next several years versus the fee pressure that you've seen. And I know it's all been due to mix in the past, but now the composition of your future organic growth seems to be tilted more towards the private markets, towards higher fee products versus, obviously, some of the lower mandates that you've been bringing in and also the core iSeries -- iShares, [Core Series] (ph) iShares, sorry. So bottom line is, do you feel better about that fee rate growth potential? And maybe if you can just touch on the model portfolios partnership as well in terms of the organic growth potential there.
Martin S. Small: Absolutely. Thanks so much for the question. So we generated 5% annualized organic base fee growth in the quarter. So 5% annualized organic base fee growth. We're excited about that. Continue to see great momentum just in our organic growth. We're growing revenues and operating income at double digit rates and expanding margin. Average AUM growth was 18% higher than base fee growth, and that was mainly due to relative outperformance of lower fee rate US equities, or what you all in our analyst community would call divergent beta. So spot AUM of $11.5 trillion ended the quarter about 4% higher than average AUM. And so our annualized effective fee rate was approximately four-tenths of a basis point lower sequentially. More macro just on the fee rate. On our AUM, the fee rate, it's a backward-looking output basically of the mix of the stock of assets that we manage and net new flows and net new fields on the fee rate. It's primarily affected by beta and FX and also by organic growth. And so over more recent periods, US public equity markets, which are a lower fee rate segment, They've grown faster than international equities. And that's been a driver of these fee rate trends on our platform. And in those environments of strong US equities, also the new base fee growth tends to occur at relatively lower fields to international or EM equities. Fee rate for us, it's primarily an output. It's not the basis or driver of the strategy. We're focused on meeting client needs across the whole portfolio. We're focused on technology. We're focused on driving organic growth in the most efficient way possible. But I do think you're grabbing on the point that we see, which is as we grow our private markets business, and we're going to go from $170 billion of client AUM with GIP to call it $285 of client AUM, as we grow our private markets business, we would expect to see positive leverage to base fee revenue. We'd expect to see positive leverage to average fee rates and organic growth over time. Going into Q4 ex-GIP, we'd expect the entry rate to be flat. And as I noted, consolidation of the GIP portfolios into our business is expected to lift the fee rate by about a 0.5 to 1 full basis point. So in the longer term, as we see a liquids and private markets as a bigger contributor to our business mix, we would expect that to have positive leverage on the fee rate.
Operator: We'll go next to Bill Katz with TD Cowen.
Bill Katz: Okay, thank you very much. Good morning everybody. Happy anniversary. I think I was there at the beginning. Sad to say. Indeed, I remember that meeting like it was yesterday. So question for you, I was very intrigued by your statement about revolutionizing the wealth management opportunity. I was wondering if you could maybe unpack that a little bit. I think you mentioned that the whole portfolio opportunity could be better than everything on the evergreen side to date. And just wondering if you could expand your thinking a little bit just so we get a sense of the magnitude and the opportunity and maybe any go-to-market strategy we should be thinking about as we look into the new year? Thank you.
Martin S. Small: Thank you. Thanks, Bill, very much. Very much appreciate the question. So we have strong relationships in wealth and retail markets across the globe. Our aims to help wealth managers build long-term portfolios that blend public and private markets exposures. I think if you go back to the last several investor days we've had, we've talked about building the portfolio of the future for wealth managers, which is digitally enabled, it's public-private, and this market, I think, is still very early. Retail allocation to private markets still remains in low single digits. Just on capabilities for us here, we have a great established leading franchise in retail liquid alternatives. We've got over $40 billion of assets here across merger [ARB] (ph), systematic multi-strategy commodity exposures. We've had a lot of success in bringing retail [alts] (ph) to retirement in the UK and Europe through the LTIF and LTAP for structures. We've been building out our evergreen and credit integral funds here in the United States. We have a credit strategies integral fund [CredEx] (ph). We have a non-traded credit BDC [BDET] (ph), which are combined to be over a $1 billion today. BDET's well placed for RIAs, independent broker dealers, offshore wealth. We think this can be a strong grower for us. But as you said, longer term, our aspiration is to integrate semi-liquid products into our over $300 billion of managed models and SMAs. That would be the most significant unlock and we feel competitive advantage we have. It's at the heart of the models venture that we've entered into with Partners Group. But I'd say, it's consistently, it's part of the partnerships we have with InvestNet, with GOL, with iCapital, with Case, with Vesmark. Our goal is to make model portfolios seamless in terms of public-private in the same way we've been able to do that with ETF and mutual fund active model portfolios. So we have a lot more work to do on that, but we're excited about the opportunity.
Laurence D. Fink: Bill, let me add more to that answer. As we believed when we acquired BGI that ETS would become the instrument of so much of the activity in the capital market that it's really been that way. Even in 2012 when we said ETS are going to be expanding heavily in fixed income to the surprise of so many people and we crossed $1 trillion from that. What we are seeing now in private markets of blending of public and private and that's going to continue to blend. Institutional clients are going to be looking at measurements of liquidity, and they're going to be trading in between public and private. That will become the new domain. And so, we're not going to look at private markets in the same way. Like we're not going to say there are alternatives. They're just part of the marketplace itself. And one of the reasons why we were so driven to acquire Preqin, we believe that data and analytics will accelerate that movement of making public and private ubiquitous together and what we're going to look at is liquidity as the driver of risk. And so, we're going to be blending liquidity from the public markets, the liquidity of the private markets and making risk assessments. And if through the data analytics that we could have combining Preqin, Aladdin and eFront, if we could build that platform into more transparency in privates, more opportunities for privates, this idea of the blending in public and privates will become a reality, just like the reality of how ETFs became the driving force of so many of the markets now, and we believe that will happen too, but it's going to happen with the acceleration of data and analytics. So when you think about these retail platforms that will be driving more private type of exposures, it will accelerate only when we have better data analytics transparency indexing and that is a major component of our strategy going forward.
Operator: We'll go next to Ben Budish with Barclays.
Laurence D. Fink: Hey Ben, good morning.
Ben Budish: Good morning and thank you for having me on the call. I wanted to ask about your ambitions in digital assets to maybe change it up a little bit. It seems like one way or another we're going to have a new president next year who's going to be more friendly to the industry. And while it could take some time to see new rules and regulations, I'm just wondering, what do you see as the key opportunities for BlackRock that this change in posture from Washington could unlock sort of beyond the ETF business and some of the other custody things you do? Thank you.
Laurence D. Fink: Well, first, I'm not sure if either president or other candidate would make a difference. I do believe the utilization of digital assets are going to become more and more of a reality worldwide. Conversations we’re having with institutions worldwide, conversations about how should they think about digital assets, what type of asset allocation there should be. We believe Bitcoin is asset class in itself, it is an alternative to other commodities like gold. And so I think the application of this form of investment will be expanded. Two, the role of Ethereum as a blockchain can grow dramatically. So if we can create more acceptability, more transparency, more analytics related to these assets, then it will be expanded. But I truly don't believe it's a function of regulation, of more regulation, less regulation. I think it's a function of liquidity, transparency, and then through that process, no different than when you -- years ago when we started the mortgage market, years ago when the high yield market occurred, started off very slow, but it built as we build better analytics and data and then through better analytics and data, more acceptance and a broadening of the market. And I truly believe we will see a broadening of the market of these digital assets. And then we'll see how does each and every country look at their own digital currency. That's a very different asset than a Bitcoin in itself. But I do believe what we're going to witness as we build out better analytics. And then the question is, as you mentioned, regulation. How do we see in this country the role of digitizing the dollar? And what role does that play? That's a very different question related to, let's say, Bitcoin and other items like that. But all of that is going to be under discussion. And what we're witnessing in other countries that we're seeing big success in India and Brazil in the digitization of their own currency for various different reasons. But we believe the technology of these blockchains are going to become very additive. And then it will overlay AI and having better data analytics. The applicability and the broadening of these markets will occur.
Operator: We'll go next to Brennan Hawken with UBS.
Laurence D. Fink: Hi, Brennan.
Brennan Hawken: Hey, good morning. Thanks for taking the question. Curious whether you all have seen any changes in the RFP activity on the fixed income side. There's recently been some regulatory issues at a large institutional bond manager. So kind of curious about what you're seeing in the market there on the back of that?
Laurence D. Fink: So if you look at our announcement this quarter, we announced we won a $30 billion mandate from a pension fund. It is not uncommon to see big, large changes in the marketplace. I don't want to talk about one client or another client or what's happening with one manager versus another manager. There is no question, money is in motion. Rob Capito talks about this a lot. We are seeing this. There's a very large institutional mandate that are going to be up for -- there's an RFP right now. And so, I don't look at this as any different. Obviously there are some issues around that are in the press, but money in motion occurs every quarter. There are large opportunities every quarter. And I think one thing that we see consistently as OCIO mandates occur, they're occurring with more regularity and with more opportunity. And this is away from the topic that you brought up. But it's important to just note this is not uncommon seeing large blocks of business moving around. And I'll leave it at that.
Operator: At this time, this does concludes today's Q&A session. And I'd like to turn the call back to Larry Fink for any additional or closing remarks.
Laurence D. Fink: Thank you, operator. I want to thank all of you for joining us this morning and your continued interest in BlackRock over these last 25 years. Our third quarter results are possible because of the global network of relationships we've created, our data analytics that are differentiated by all imagination, and importantly our integrated technology that we built over many, many years. We have a long history of good integration, whether it is integration of BGI, Malim, Aperio, eFront, and now we're working on a successful close and integration of GIP. And we expect the same thing of a closing and integration of Preqin around year end. And I believe our position has never been better. And I believe as we look forward in delivering strong performance for our clients, we will create differentiated growth for you, our shareholders, in the coming years ahead. Everybody, thank you and have a nice and positive quarter. Thank you. Bye-bye.
Operator: This concludes today's teleconference. You may now disconnect.